Operator: Well, hello, everyone and welcome to Zoom’s Q2 FY ‘23 Earnings Release Webinar. As a reminder, today’s webinar is being recorded. And now, I will hand things over to Tom McCallum, Head of Investor Relations. Tom, over to you.
Tom McCallum: Thank you, Kelcey and hello everyone. Welcome to Zoom’s earnings webinar for the second quarter of fiscal ‘23. I am joined today by Zoom’s Founder and CEO, Eric Yuan; Zoom’s CFO, Kelly Steckelberg; and we are also pleased to have our new President, Greg Tomb, join us for today’s call. Our earnings press release was issued today after the market closed and maybe downloaded from the Investor Relations page at investors.zoom.com. Also on this page, you will be able to find a copy of today’s prepared remarks and a slide deck with financial highlights along with our earnings release, include a reconciliation of GAAP to non-GAAP financial results. During this call, we will make forward-looking statements, including statements regarding our financial outlook for the third quarter and full fiscal year 2023. Our expectations regarding financial and business trends, impacts from macroeconomic developments the Russia-Ukraine war, our market position, opportunities, growth strategy and business aspirations, and product initiatives and the expected benefits of such initiatives. These statements are only predictions that are based on what we believe today and actual results may differ materially. These forward-looking statements are subject to the risks and other factors that could affect our performance and financial results, which we discuss in detail in our filings with the SEC, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Zoom assumes no obligation to update any of these forward-looking statements we may make on today’s webinar. And with that, let me turn things over to Eric.
Eric Yuan: Thank you, Tom and thank you everyone for joining us today. I am on the road now and my Internet access is limited. I will hand my remarks to Kelly and Greg and join you all for the Q&A portion. Thank you.
Kelly Steckelberg: Thank you, Eric and thank you everyone for joining us today. Let me start with what’s on everyone’s mind, the macro environments. Zoom is not immune to the global downturn, but the situation is more complex than meets the eye. Our enterprise business continued to post strong growth, which we believe is because cloud migration and digital transformation continue to be a priority even when and perhaps especially when the economy slows. The headwinds we saw mainly relate to the strengthening dollar, new online subscriptions and to a lesser extent, bookings linearity. We have implemented initiatives focused on driving new online subscriptions, which have shown early promise but were not enough to overcome the macro dynamics in the quarter. We believe Zoom remains well positioned in this environment as customers look to increase productivity and collaboration while moving away from expensive legacy vendors. Our products are designed to drive efficiency and cost savings within organizations and are loved by both their employees and their customers. In addition, we have strong margins and cash flows as well as a large cash balance. Even still, we are taking a prudent and cautious approach in this environment with focused investments and hiring to drive innovation and customer happiness. Our platform strategy is playing out very well and Zoom Rooms and Zoom Phone are critical components of that strategy. In fact, Zoom Phone was a real star in Q2, hitting several milestones. The number of customers with 10,000 or more paid seats increased 112% year-over-year. In addition, we broke our record for the largest Zoom Phone deal twice in the quarter, first with a global retailer and then with a global bank, both with more than 125,000 seats. Deals like these led Zoom Phone to post a record quarter and surpassed 4 million seats in August. We are also seeing early traction for Zoom Contact Center and Zoom IQ for sales. Zoom Contact Center is only 6 months old, but has already had deal sizes reach seats that we did not expect until its second year. And customers value the user-friendly interface, efficiency gains and savings they see in shifting to our modern cloud-based AI-driven contact center solutions. We are proud of the team that drove these results and I am thrilled to have Greg with us today. Greg joined last quarter as our new President leading our go-to-market teams and the office of the Global CIO. He brings a wealth of leadership experience scaling bellwether Internet and enterprise companies. Greg, welcome to our call today.
Greg Tomb: Well, thank you, Kelly and I am very happy to join today.
Kelly Steckelberg: We would love to have you introduce some customer wins for the quarter.
Greg Tomb: Absolutely, Kelly. Well, hello, everyone. Very nice to meet all of you. I wish it was in person. We actually did have an exceptional sales quarter in the enterprise market and I’ll let Kelly give you more details in a minute. We had a number of great new wins, including one of the largest U.S. healthcare providers out there. I can’t give you their name yet, we will in the future, but they did choose Zoom Meetings and Zoom Phone to provide telehealth services to the broad number of caregivers and patients. I mean, they were just really impressed with Zoom’s strong integration between video and voice to support 40,000 plus employees and their external community for a wide variety of telehealth needs. I also want to thank UCLA. And you may know this or may not, but they were recognized by U.S. News & World Report as the number one public university in the U.S. And I want to thank them, because they expanded their relationship with Zoom by adding 15,000 Zoom Phone licenses and this large investment will accelerate their journey to the cloud and will offer them the benefits of truly having a unified communications platform. The next company I want to thank is Warner Bros. Discovery, a premier global media entertainment company. I want to thank them for partnering with Zoom on its global communications needs. Our partnership actually began before the merger with Discovery and really kicked into gear once these two iconic brands merged. And they have chosen to expand their meetings and phone deployment and we are really excited to deliver for them a full integrated suite of communication services. Next, I’d like to thank Ancestry and you probably know Ancestry as the global leader when it comes to family history. I want to thank them for also expanding their relationship with Zoom. The strong customer relationship that we built during the original Zoom Meetings deployment and they also had a successful partnership with Solvvy, it allowed us to expand this to a complete platform. We included Zoom Phone. We have a scalable now conversational AI-based chat system in place and self-service capabilities from Solvvy. And last let me also thank Optiv, the cyber advisory and solutions leader. Today, they deliver strategic and technical expertise to nearly 6,000 companies across every major industry. Optiv started as a Zoom Meetings customer back in 2016, then they expanded to Zoom Phone last year, and they really appreciated how reliable and simple our integrated solutions work. And then this last quarter in Q2, they decided to replace their legacy contact center with Zoom Contact Center and it’s more than 275 agents supporting roughly 90 workflows. And they were so impressed with our rapid product iteration, our roadmap for integrations with other SaaS tools as well as the ability to greatly reduce costs. So, again, I mean thank you, UCLA; thank you, Warner Bros; thank you Ancestry; thank you, Optiv and to all those customers that did business with us in Q2. We greatly appreciate it. And with that, Kelly, I’ll pass it back to you.
Kelly Steckelberg: Thank you, Greg. Now let me turn to the quarter’s results and guidance. In Q2, total revenue grew 8% year-over-year to $1.099 billion, approximately $16 million below the low-end of our quarterly guidance. A stronger U.S. dollar, which had an impact of approximately $8 million, weaker new online sales, and to a lesser extent, back-end linearity in the quarter, were the biggest factors contributing to the miss. We recognize that the revenue results are disappointing and below our expectations as we navigate the current environment. It should be noted that while our online business saw lower new subscriptions, renewals and online continued to improve. And as we just discussed, we have launched a number of initiatives to drive new online subscriptions around local pricing, packaging and free-to-paid conversion. The growth in revenue was primarily driven by strength in our enterprise business. Revenue from enterprise customers grew 27% year-over-year and represented 54% of total revenue, up from 46% a year ago. We expect revenue from enterprise customers to become an increasingly higher percentage of total revenue over time. From a product perspective, we had strong growth in Zoom Meetings and Zoom Phone, coupled with contributions from Zoom Rooms and other products. The number of enterprise customers grew 18% year-over-year to approximately 204,100. Our trailing 12-month net dollar expansion rate for enterprise customers in Q2 came in at a healthy 120%. We saw 37% year-over-year growth in the upmarket as we ended the quarter with 3,116 customers contributing more than $100,000 in trailing 12 months revenue. These customers represented 26% of revenue, up from 20% in Q2 of FY ‘22. As the majority of our revenue has shifted back to the enterprise and we have moved beyond the pandemic buying patterns, we are returning to more normalized enterprise sales cycles with linearity weighted towards the back end of the quarter. This contributed to higher than expected deferred revenue in Q2. And as we believe this customer behavior will persist, we have factored it into our outlook. Our Americas and APAC revenue grew 12% and 10% year-over-year respectively. EMEA continues to be impacted by the Russia-Ukraine war, the strengthening dollar and online performance, which led to an 8% year-over-year revenue decline. Now turning to profitability. I will focus on our non-GAAP results, which exclude stock-based compensation expense and associated payroll taxes, acquisition-related expenses, net litigation settlements, net gains or losses on strategic investments, undistributed earnings attributable to participating securities and all tax effects resulting from non-GAAP adjustments. Non-GAAP gross margin in Q2 was 78.9%, an improvement from 76.2% in Q2 of last year and 78.6% last quarter. The sequential improvement was mainly due to optimizing usage across the public cloud and our increasing number of co-located data centers. Given the improvements we are seeing so far this year, we expect gross margins to be approximately 78% for the remainder of the year, which is higher than our previous view. Research and development expense grew by 81% year-over-year to approximately $98 million, driven by our focus on innovation. As a percentage of total revenue, R&D expense increased to 8.9% from 5.3% in Q2 of last year. Our expanding product portfolio reflects our ongoing investments in building out Zoom’s platform and delivering on our customers’ evolving needs. We plan to further invest in R&D to reach our long-term target of 10% to 12% of total revenue. Sales and marketing expense grew by 35% year-over-year to $286 million. This represented approximately 26% of total revenue, up from 20.7% in Q2 of last year. We are committed to investing in growth areas, including sales capacity, channel partner enablement and product marketing. G&A expense grew by 2% to $90 million or approximately 8.2% of total revenue. Non-GAAP operating income expanded to $394 million, exceeding the high-end of our guidance of $365 million as we continue to thoughtfully prioritize investments. This translates to a 35.8% non-GAAP operating margin for Q2 compared with 41.6% a year ago and 37.2% last quarter. Non-GAAP diluted earnings per share in Q2 was $1.05 on approximately 307 million weighted average shares outstanding. This result was $0.13 above the high-end of our guidance. Turning to the balance sheet. Deferred revenue at the end of the period was $1.4 billion, up 19% year-over-year from $1.2 billion. This result was meaningfully higher than what we previously forecasted due to the strong enterprise bookings, which are back-end weighted in the quarter. Looking at both our billed and unbilled contracts, our RPO totaled approximately $3.2 billion, up 37% year-over-year from $2.3 billion. We expect to recognize approximately 61% of the total RPO as revenue over the next 12 months as compared to 69% in Q2 of last year, reflecting a shift towards longer term plans. As a reminder, our seasonality of renewals is front-end loaded and moderates over the rest of the year, reflecting the sequentially smaller renewal base. As such, we expect Q3 deferred revenue to grow at approximately 13% to 14% year-over-year. We ended the quarter with approximately $5.5 billion in cash, cash equivalents and marketable securities, excluding restricted cash. We have purchased $426 million of stock, representing 4.1 million shares over the last two quarters as part of our $1 billion repurchase program. We had operating cash flow in the quarter of $257 million as compared to $468 million in Q2 of last year. Adjusted free cash flow was $222 million as compared to $455 million in Q2 of last year. Our margins for operating cash flow and adjusted free cash flow were 23.4% and 20.2% respectively. As previously discussed, these metrics include a large cash outflow from an increase in cash taxes starting in Q2. As we update our full year outlook for the P&L and take into account the lower tax deductions for stock-based compensation caused by the lower stock price, we would expect adjusted free cash flow to be between $1 billion to $1.15 billion. Now turning to guidance. This outlook is consistent with what we are observing in the market today. Specifically, it assumes that our enterprise business will grow in the low to mid-20s, while our online business will decline 7% to 8% for the year as compared to the previously provided flat outlook. For the third quarter of FY ‘23, we expect revenue to be in the range of $1.095 billion to $1.1 billion. We expect non-GAAP operating income to be in the range of $325 million to $330 million. Our outlook for non-GAAP earnings per share is $0.82 to $0.83 based on approximately 306 million shares outstanding. For the full year of FY ‘23, we now expect revenue to be in the range of $4.385 billion to $4.395 billion, which would represent approximately 7% year-over-year growth. At the midpoint, this represents a decrease of approximately $150 million as compared to our previous full year guidance. Of this decrease, approximately $35 million is due to the stronger dollar and $115 million is attributable to the broader macroeconomic environment. We now expect our non-GAAP operating income to be in the range of approximately $1.44 billion to $1.45 billion. We are still targeting a non-GAAP operating margin of approximately 33% as we have adjusted spending in the second half to focus on high ROI areas and have seen a modest benefit to expenses from FX. Our tax rate is expected to approximate the blended U.S. federal and state rate. Our outlook for non-GAAP earnings per share is $3.66 to $3.69 based on approximately 307 million shares outstanding. Before opening up for Q&A, we are excited to share our Zoomtopia event with you. It is our premier user conference and will be run on Zoom Events. We look forward to sharing our platform strategy, new innovations and customer testimonials. Please join us at Zoomtopia and our Investor Day on November 8. Zoom remains focused on building out our platform, leading in the hybrid work world, enhancing the customer experience and expanding into more and more business workflows. We will continue to make strategic moves to drive future growth as we navigate the current environment. Thank you to the Zoom team, which has grown to 8,000 strong, our customers, our community and our investors. Kelcey, please queue up our first question.
Operator: I will do. Thank you so much, Kelly. [Operator Instructions] And our first question is going to come from Kash Rangan with Goldman Sachs. Kash, would you mind turning on your camera, please? Kash, would you like to ask a question today? You can go ahead and unmute yourself as well. Alright. Well, hearing nothing from Kash, we will go ahead and we will move on. William, I am sorry, I am putting you on the spot here. I didn’t let you know that you are next, but William Power with Baird, if you will go ahead and unmute and turn your camera on for us.
William Power: Great. Okay. Thanks for taking the question. Let me maybe start, Kelly. You noted, I think $115 million of macro impacts now in full year guidance. Maybe just help us unpack that a bit. How much of that relates to the online pressure versus any changes you are seeing on the enterprise side, whether it pertained to longer sales cycles? Any changes in seat counts – seat count pushback and any other commentary you can provide there?
Kelly Steckelberg: Yes. The majority of that is really coming from online, William. So when you look at the difference in the guidance and previously, we had expected online to be approximately flat for the year and now we are saying it’s going to be in the range of 7% to 8% down, that’s really where the majority of that is coming from on a base of about $2 billion. That’s where we’re seeing it. We continue to see strength in the enterprise, which you can see as the increase in deferred. We are moving more towards back-end linearity, which had some impact on the revenue, but we continue to see great work done by our enterprise team and getting those deals in just a little bit later in the quarter.
William Power: Okay. That’s helpful. Maybe if I can sneak one more in, just really strong Phone results, 225,000 customers. Maybe just any color on kind of sales cycles for a deal of that size. When do we expect the revenue to start to flow through? And just any commentary maybe just on the pipeline of larger deals, whether that size or bigger deals generally?
Kelly Steckelberg: Yes. Greg, do you want to talk about that?
Greg Tomb: Yes, I can comment – I mean, yes, I mean Q2 was a pretty amazing quarter around Zoom Phone, extremely high win rates. And I think we exceeded the – I think you mentioned, is Kelly, the $4 million user mark, right? So to do that in 3 years is just incredible. There is a – we see a large number of our enterprise customers today looking for looking for ways to consolidate and have a more modern communication experience and the fact that it’s fully integrated with video makes it a natural place to go. So I think you’re going to continue to see this really big uptick in our enterprise is taking advantage of both Video and Phone together. So – and our pipeline is showing that now.
William Power: Okay, thank you.
Greg Tomb: Yes.
Operator: Moving on to Meta Marshall with Morgan Stanley.
Eric Yuan: Hi, Meta.
Meta Marshall: Great. Hi, thanks. Maybe, Kelly, just starting with some of the initiatives that you mentioned kind of taking on the SMB business and the actions that they are taking and just how that informs the 7% to 8% down during the year. What would they be without some of those initiatives? Just what’s kind of informing that? And then maybe just if you could kind of speak to as you were making some of these OpEx decisions on what is kind of high priority or high ROI, just kind of what is going into that decision-making process? Thanks.
Kelly Steckelberg: So I think we touched on this. I’m going to start with your second question first. We touched on this in the Q1 call as well. We will continue as a company to focus on the areas that drive innovation. So that really means R&D as well as driving growth. So that’s sales ops. And we have taken the tack for a while now of trying to be as efficient as we can around cost of goods sold and, of course, G&A to the extent that, of course, we always want to ensure the product and the platform is reliable and we’re supporting our customers’ needs but trying to do that as efficiently as we can. And in fact, we indicated in the prepared remarks, we expect gross margins to come in a little bit higher than what we had previously at 7 8% for the rest of the year.  And then in terms of online, Wendy and her team have just done an amazing job of really thinking about how do we continue to improve the conversion rate of free-to-pay. They have done that through different initiatives, especially including pricing and packaging on a global basis. And we’ve seen retention rates continue to improve as well as conversion rates. We just – the sort of the challenge that we’re seeing overall in the online business is new customer additions. But as they continue to focus on the initiatives, I’m sure that will improve our time as well.
Meta Marshall: Great. Thanks.
Operator: And Bernstein’s Peter Weed will have the next question.
Peter Weed: Thank you. I think in the past, you’ve given us some guidance to help us understand on the net retention number in enterprise, where some of that’s coming from, certainly, I think just a quick estimate suggests that you’re seeing a continued tailing there. And in the past, I think you’ve been seeing better support on the larger customers relative to some of the smaller customers. How should we be looking at that right now? Is that continuing to be the trend where your larger established customers are expanding their use across the platform? Are you seeing additional strength in the smaller customers are coming up? And by the way, as a second part to this question, I think the implication that I see out of the numbers that you posted is actually a bit of a reacceleration on new customers on the enterprise side, and I’d love to hear a little bit about how you’re seeing that. And I know that you saw – you said, hey, there is some linearity creating some challenges at the back end of the quarter, but to also kind of outperform on new customers there with some of those challenges is pretty nice, and I’m just trying to understand how much momentum you see in that going forward in the face of some of these linearity issues. Thank you.
Kelly Steckelberg: Sure. So let me talk about the net dollar expansion, then I’ll let Greg or Eric talk about new customers. But we have said for a while, when you remember that the strategy for selling Zoom Phone and Zoom Rooms, contact center, etcetera, is to sell into our existing installed base. It’s exactly as you said. We continue to see some of our largest customers continue to expand. Some of those Zoom Phone wins moved our customers. We – when you go back and look at the customer count of how many – the growth rates that we saw and greater than 100,000 trailing 12 months, like it’s really significant growth, which supports exactly what you’re saying. And as a reminder, the net dollar expansion number now is focused on just the Enterprise portion of our business. It doesn’t include the online segment of the business. But Greg or Eric, would you either be like to just touch on new customers for the quarter?
Eric Yuan: Yes, sure, sure. Just quickly. So Peter, if you look at the Q2, right? Look at our enterprise wins doing very well. Just a very, very big and healthcare organization, they deploy Zoom not only for Phone but also for telemedicine as well. And we do see a lot of new opportunities like that just so – and it’s doing extremely well on the enterprise front.
Greg Tomb: Yes, I would add to what Eric and Kelly said is that I think we will continue to see that solid customer base in the enterprise expanding with us. I do think when you take a look at online, it is a little mixed because we’ve got a lot of individual consumers that are down there that we’re looking for ways to get them to move from free to paid. And what we’re doing right now seems to be working, but we’ve got to keep at it and continue to run additional actions. But I think we’ve got a really great story that’s coming together on the enterprise. And from a sales perspective, we’re trying to focus more and more in the enterprise on how we’re going to market, how we’re marketing these companies and the value proposition, again, around the whole platform. We really have a great platform story today that allows companies to have more of an integrated end-to-end communication, a modern communication platform, and they can get rid of a lot of point solutions that are – they bought 20 years ago that are causing them a lot of pain and costing a lot of money. So I think we will see this trend continue.
Peter Weed: Thank you. And by the way, on the net retention piece, you talked about FX. How much of the drag on net retention because you’re not providing a constant currency basis of it was due to the FX effect versus just being truly slower growth?
Kelly Steckelberg: Yes. We’re not going to break out FX down to that level of detail. But what I will say, if you step all the way back – and we talked about this in the Q1 call as well. If you look at the impact that FX and the war in Europe is having on the year-over-year growth, it’s 200 basis points. So you can think about there is 2 full percentage points of impact coming from things that are kind of out of our control from both FX and the war on the total year-over-year growth rate.
Peter Weed: Thank you.
Operator: [Operator Instructions] And we will move on to Matt Stotler with William Blair.
Matt Stotler: Yes. Hi, everybody. Thank you for taking the question. Maybe I’ll just ask one kind of doubling down on the macro question and conversation. I mean, Kelly, you noted that you look at updated guidance and back out the impact from the online business, back out the incremental FX impact versus prior guidance. It actually implies that you’re expecting improvement in the enterprise segment of the business on a like-for-like basis. And so I would just be interested to kind of get some deeper color on what you’re seeing in terms of buying behavior in that segment of the market, right? I mean, like you said, no one is immune from a slowdown in the macro. So you’re seeing any sort of change on the enterprise side and customer behavior, spending patterns, anything like that, that you can point to?
Kelly Steckelberg: We definitely had a strong Q2 in terms of enterprise sales. That – you can see reflected in the deferred. It just came later in the quarter, which is why it didn’t really have impact on revenue within the quarter. But we continue to – all the things we’ve talked about, right? Zoom Phone having incredible strength and performance in the quarter, really already seeing momentum in contact center this early. 6 months in we have some remarkable names that have signed up for contact center that we will be excited to share with you at some point in the future. But already, the seat sizes that we’re seeing for contact center, I think we would not have expected them to come from in their 18 to 24 months yet. So I think all of that shows that the platform transition is really working very, very well and that customers continue to love and see the efficiency they get from Zoom. And especially as they are thinking about – maybe, Greg, you can talk about this. Sort of what I heard from the sales team is these transition of deals moving from the CIO to the CFO and customers really being thoughtful about the cost there, and Zoom competes very well when it’s competitively priced.
Greg Tomb: Yes. I mean I would say it’s I don’t think it’s surprising to anybody to think that any of these large transactions that are going through approval aren’t getting that extra set of eyes from a finance perspective. But what’s interesting is that we’re in a world where hybrid work is not going away, right? It actually complicates things, but having a platform that supports that is really important even at the CEO level, right, because it helps them with attrition issues. It helps them hire the best people. It helps them have faster decisions, inclusive decisions. So having the right communication platform knows different than having the right decision around security or supply chain. These are just the top three or four that are sitting at the Board at the CEO level, and so they do get approved, right, I mean other than having a couple of sets of eyes and may be coming after us for a little bigger discount here or there, which delayed it a week or 2. I don’t think we had anything major that slipped from quarter-to-quarter because people weren’t going to spend the money. So I mean I was – I mean I’ve been here now for 2 months, and I was really – I mean I was personally really amazed by how strong the execution was by our sales team and how the deals that were committed flow through the process.
Kelly Steckelberg: The other thing that I would just highlight is we also continue to see strength in movement from monthly to annual contracts in both our online as well as our enterprise business. And as you know, that really helps from a retention perspective and also continues to build the deferred.
Matt Stotler: Got it. Thanks, Kelly.
Operator: The next question will come from Matt VanVliet with BTIG.
Matt VanVliet: Yes. Hi, good afternoon. Thanks for taking the question. Maybe Kelly, I am wondering if you could expand on the last part or maybe for Greg, in terms of the sales and marketing investments, just maybe some of the areas that you’re adding the most headcount, if you can talk to maybe the two or three areas that you’re seeing the most headcount growth? And then from a sales efficiency standpoint, maybe for Greg, just what kind of processes are you bringing to the table, bringing in, maybe just some different mindsets around driving that sales efficiency as we look forward and become more enterprise-focused. Thanks.
Kelly Steckelberg: Yes, please, Greg. Go ahead.
Greg Tomb: Okay. So on the first part of your question, repeat it again. I heard the sales efficiency. What was the first part?
Matt VanVliet: Just headcount, what areas are seeing the most growth areas headcount.
Greg Tomb: Yes. No, no, that’s a really good question, right? So one is we are increasing our focus up to the larger enterprise side of the house, what we call majors and enterprise, right? Because there is a lot of money there that we are just missing, we just don’t have the coverage. So you’ll see a lot of our investment in marketing going there. right? You’ll get a flavor for that at Zoomtopia as well when you take a look at the value propositions and how we’re bringing our products to market. We’ve got a handful of new products that are just – they are moving faster than we thought. You saw Zoom Phone. Kelly talked about contact center. We’ve got another one, IQ for sales, right? So they are all going to get extra attention. And then the other area is international, right? So international, I mean we are – we’ve got a lot of opportunity there, and it’s untapped, and so that’s getting a bigger attention from us as well. And then the last one I’d mention is around our ecosystem, right? I mean, I know we don’t publish much around our ecosystem, but we’ve got a potential to grow our ecosystem, add partners and get that force multiplier effect out of our ecosystem.  Well and the other one was on efficiency, right? That’s what you said, yes. So when you take a look at efficiency, I think the – I think we are a little two nights in how we sell our product from a discounting perspective, right? So I think we’ve got the ability to be a little smarter about how we price and discount our products. And then, again, it’s making sure we’re deploying our sales resources in the right place, right? So we don’t need to be stuck in certain boundaries because that’s how we set up coming into the year, our structure and how we manage the sales organization. We can be much smarter now on how we deploy those resources to get the biggest return on those resources, which we are looking at right now.
Matt VanVliet: That’s great. Thank you.
Greg Tomb: I don’t know, Eric, do you want to add to that at all?
Eric Yuan: That’s good. Thank you.
Greg Tomb: Okay.
Operator: And moving on to Rishi Jaluria with RBC.
Rishi Jaluria: Alright. Thank you everyone for taking my question. I just wanted to dial a little bit more into some of the wins that you’ve seen on the contact center side. Can you give us a little bit more color in terms of what types of customers these are? Was it a competitive process? I imagine you are in seeing one of the legacy players. But were there other CCaaS vendors in that discussion as well. Just any color you could give would be helpful? Thank you.
Greg Tomb: Do you want to take that, Eric?
Eric Yuan: Yes, sure. But yes. Thank you, Rishi. So – and Kelly mentioned earlier, right? So – and we are still probably in early stage of the product development in the face, but actually, it’s more than what we expected because as get mentioned earlier, some of the customers we saw probably they are going to deploy later on, but they did deploy and they are very, very successful. And also, we also found some new use cases like internal IT support, right, IT desk, right? And plus some other customers who deploy the Zoom meetings and Zoom Phone. They look at our platform solutions, hey, you already have a contact center. After they did a test, interesting enough, we said, it works so well. And it’s also why not also deploy Zoom Contact Center as well with the seamless experience and seam back in architecture. And also we are going to be very aggressive and double down on that from Zoom’s perspective because product is ready. And it will take Zoom Room for our own support team, for example, we successfully managed to replace other contact center solution with our own solution. The feedback is extremely positive. That’s why it gives us more confidence, right, further boosted the team confidence, right, to sell more in the second half and then also next to the fiscal year.
Greg Tomb: Yes. I would add. I would say, in almost every one of them, we are replacing an older legacy solution, right, one that is costly and complex. And most of them, they can’t change them and they can’t – they don’t have the flexibility to enhance them, right? So we bring a more flexible, innovative solution that could be implemented very fast right? It is integrated with our other solutions. It is a lower cost in many cases. And people have been very positively impressed with the solution. And like Kelly said that the deals are bigger than we thought they were going to be. So yes, it’s been a great two quarters now of bringing this new product to market, so we’ve got some pretty high hopes.
Rishi Jaluria: Wonderful. Thank you.
Kelly Steckelberg: Thank you, Rishi.
Operator: Our next question will come from James Fish with Piper Sandler.
James Fish: Hi, guys. Thanks for the question. It’s fairly new, but you guys talked about the consolidation impact. What are you guys seeing with traction, specifically with Zoom One and pricing overall, especially relative to the early days of Zoom United. And Kelly, secondly, on guide, given you talked about the issue being more on the new subscription side for online, are you still assuming monthly churn for online actually gets better in the second half of the year like you were before?
Kelly Steckelberg: So let’s talk about that one first. So in terms of online, we continue to see stability in the retention rates at that 16-month plus, and we will show you that chart again when we get to Analyst Day in November. And we’re at about 70% of our online business now has crossed over that 16-month mark. So it’s bringing a lot of stability. What we had talked about previously was we expected to see an inflection point for online in Q4. And given the reduction in the guide, it’s more likely that’s going to come in the first half of next year. And then in terms of the traction of Zoom One, so it’s just one quarter in, but we have seen some great progress there. And I think it’s serving the purpose that it’s needed. I mean, Greg, you can certainly comment on that. But it’s really meant to ease the buying process for our largest enterprise customers and package up the platform in a way for them that really makes sense to meet their needs.
Greg Tomb: Yes. And I think it also just from an awareness perspective helps this extremely large customer base that we have understand that, look, we’re way more than meetings. And it gives them a way to step in if they want to try Phone, for example, or to take advantage of our incredible chat functionality. I mean it’s – we have an incredible chat functionality probably, Eric, you can correct me I’m wrong, 70% of our customers don’t even know we have one. And then when they start using it, it gets very, very pervasive. So – but it just gives us a way to show our customers that there is a lot more to this platform they can get value out of, and that’s what we’re seeing. So – and it gives us from a salesperson in a contractual standpoint the ability to walk in and say, what does a better contractual relationship look like with Zoom that can be stickier and longer-term. I don’t know if you want to add to that, Eric.
Eric Yuan: No, it’s great. Thank you, Greg.
Operator: Thank you. And we will now hear from Matthew Niknam with Deutsche Bank. Matthew, go ahead.
Matthew Niknam: Hi. Thanks for taking the question. So I want about the industry. One of the bigger incumbents in the UC and CC space seems to be hitting some elevated financial difficulty. I’m just wondering what sort of opportunity that presents for you, whether it’s organic or inorganic? And then just one follow-up on linearity. I think you referenced maybe some back-end loaded sales in the quarter. Any more color you can give in terms of what drove this maybe relative to some of your initial expectations a couple of months ago? Thanks.
Kelly Steckelberg: So I’ll talk about the linearity first. So I think that it’s just – as we said in the prepared remarks, there is two things happening, right? More and more of our deals are now coming from the enterprise, and the majority of our revenue is coming there, and we have definitely now moved beyond the pandemic buying patterns. So our linearity had been much more moderated, I would say, over the last 2.5 years as the online business itself is more balanced within the quarter just by its nature. And then the enterprise business even itself, during the pandemic buying period, it didn’t follow the sort of normal deal cycles that we had seen. There were less proof of concepts. There were less review, honestly. And now that has really all shifted back. And so it’s just taken us, I think, a little bit of time to understand exactly where we were in that cycle. And we really saw that we’re back to pre-pandemic linearity, which is very normal, right, for a SaaS business. It just hasn’t been normal for us for the last few years.
Eric Yuan: Yes. I can address that organic growth or maybe the M&A opportunity. I think as you look at the UC and CC, the customer experience is extremely important, right? And you look at how we build our Phone business, right, in less than 3 years, 4 million paid seats, right? And that’s the reason why we know actually our team, we can build a better product. Why not can we double down on that, right? It takes some time, but it’s organic growth. It can help us build a better product ultimately can make our customers and happier. I think we should continue that. Occasionally, for sure, some technology or some other areas, we also like to explore like recently acquired Solvvy team. This is a great asset to us, will further help us the contact center business, and also we will keep eye on that as well, right. But ultimately, direction-wise, I think we have high confidence about our product teams’ execution. We think we can build a much better new service.
Matthew Niknam: Great. Thank you.
Eric Yuan: Thank you, Mathew.
Operator: Thank you. I will now hear from Alex Zukin with Wolfe Research.
Unidentified Analyst: Hi. This is Strecker on for Alex. Thanks for taking my question. Kelly, I would like to unpack the Enterprise segment a little bit more. So, just to be clear, is the growth coming more from ramping reps or selling back into the base with IQ and filing the contact center? And then given you maintain the 20% plus growth target, is it fair to for us to assume that you have not contemplated any lengthening of sales cycles or a worsening macro into this line? And then lastly, can you just frame how we should think about the sustainability of this growth beyond this year, because the guidance does imply some deceleration while on easier comps in the back half? Thank you.
Kelly Steckelberg: So, as I said in the prepared remarks, we have assumed that the linearity that we saw occurring in Q2 is consistent for the rest of the year. So, any of the back-end loaded, right, it will contribute less revenue to this year in each of the individual quarters, so we have assumed that’s a similar trend for the rest of the year. In terms of future growth, we are not prepared to comment on that. We will do that when we give full year guidance later this year. And then the growth is – honestly, it’s coming from both, as you heard earlier, continuing to expand into our customers. So, expansion, Zoom Phone, Zoom IQ, Zoom Contact Center, especially also Zoom Rooms, had a fairly strong quarter as people are still thinking about the future of hybrid work and what does that mean for them. And we are continuing to see at least – I think in Q2, the percentage of ramped reps was higher than ramping reps, and that always is a positive contribution.
Unidentified Analyst: Thanks. And then just a quick follow-up, what have you seen in 3Q so far in terms of SMB and enterprise bookings’ linearity?
Kelly Steckelberg: Yes. It’s so early in the quarter that we wouldn’t comment on that yet.
Unidentified Analyst: Thank you.
Kelly Steckelberg: Yes.
Operator: Yes. Trebnick with MKM has the next question.
Catherine Trebnick: Thank you for taking my question. You have talked quite a bit on Zoom Phone, contact center. Could you give us a little bit more detail around the Zoom Room? It seems like in this hybrid environment that would probably be getting more traction. And can you provide more color around the sales motion, if you ran any specials and who you typically displace? Thank you.
Tom McCallum: I will let you have that one, Eric.
Eric Yuan: Yes. So, I think Catherine, you are also right. I think especially when it comes to hybrid office and a hybrid work and Zoom Room is becoming more and more important, right. If you look at our functionality, feature set innovation, I think I actually be better than any other solutions all there. But however, in early this year, right, and a lot of businesses when they started exploring going back, they try to look at their confident setup and really want to make sure they have a new solution. That’s the reason why they pick it up in Zoom Rooms. But also over the past several months and also we do see – and some companies also want to be conservative in what’s happening on the economic front, right. And they have a big office, campus, most employee probably work remotely. And I would say it’s kind of sometimes, wow, a lot of the new Zoom Rooms, and sometimes we see a slowdown. But overall, direction-wise and a lot of the companies would likely to deploy the innovative solution like Zoom Rooms and to truly improve their hybrid work experience.
Catherine Trebnick: Alright. Thank you.
Eric Yuan: Thank you.
Operator: Moving on to Siti Panigrahi with Mizuho.
Siti Panigrahi: Hey guys. Thanks for taking my question. Kelly, I just wanted to unpack a little bit on the Online segment. So, what sort of trend you are seeing in the churn in the Online segment? And on the new customer acquisition, you made some changes on that one-on-one meetings now limiting to 40 minutes. It’s been now more than a month. So, what sort of trends are you seeing that a free-to-paid conversion as it – has it fell below your expectation or what sort of trends?
Kelly Steckelberg: Yes. So, in terms of churn, we have certainly seen that continued to improve and stabilize. As we said – touched on this a little bit in the prepared remarks, it was a little bit better than expected, where we saw – the impact you are seeing in the forward-looking guidance is the acquisition of new customers. And again, Wendy and her team are doing an amazing job on initiatives to improve that. They just haven’t had enough impact yet to offset what we are seeing in the quarter. The – for example, what you are talking about, the 40-minute limit really did help in the free-to-paid conversion, and that is considered as you look forward in the rest of our full year guidance and as well as many of the other initiatives they are working on. But when you look at the – especially in Europe, the impact we saw there as well as combined with FX and that is more concentrated – having a more concentrated impact on online than enterprise, that’s what is driving the reduction in the year-over-year guidance.
Siti Panigrahi: Great. Thank you.
Kelly Steckelberg: Yes.
Operator: Tyler Radke with Citi. Please go ahead with your question.
Tyler Radke: Hi. Thanks for taking the question. Maybe a couple for Greg. First of all, welcome aboard. I wanted to just kind of get your perspective on the sales organization and particularly in the enterprise, just kind of how you see the pricing dynamic. Obviously, it’s a competitive market. But on one hand, you are driving a lot of value for enterprise customers. So, do you think there is an opportunity for maybe higher-priced SKUs or an up-sell motion? And then secondly, if you could just comment on the enterprise customer net additions, which I think were down quite a bit sequentially and year-over-year, if there was a size mix shift driver there? Just any color would be helpful. Thank you.
Greg Tomb: Okay. I mean I will take the first one. Kelly, I will give you the second one on the details. I mean our number of customers did go up in the high end, but I will let you cover that. So, from a value perspective, I don’t see us bringing out higher-level SKUs. What I do see us doing though is doing a much better job of describing and articulating the value proposition we bring to the customer and building business cases for the large enterprises so they can make a bigger purchase with us so we don’t have to discount as much, okay. I think we have got – we are doing really great in the enterprise, but I don’t think we are doing really great at really selling Hyatt at Board level, CEO level and being really smart about how we construct our business cases and value. And that’s something that we are going to work to improve on, which I think will have a really big impact. So, we have got some work to do with our sales force and from a training perspective. But I – we just did a really big training exercise about two weeks ago and already started some of this, and it was received extremely well with our sales force. So, I mean what we don’t want to do is be like our competition and just try to win on giving big discounts and giving away free stuff. That’s not what we are about.
Kelly Steckelberg: Yes. And then in terms of the growth of the enterprise customer base, so as a reminder, the selling strategy for Zoom Phone, for contact center or Zoom IQ sales is to sell into the existing installed base. And so going forward, especially as you continue to see great progress in those products, you are going to see growth continuing to come from our existing installed base with layering on of new customers on top of that. So, you should not be surprised to see that customer count declining even while our revenue is growing.
Tyler Radke: Thank you.
Operator: Karl Keirstead with UBS has the next question.
Karl Keirstead: Okay. Great. Kelly, this one for you. So, we and I think a lot of investors on this call anchor our valuation models for Zoom shares in your free cash flow numbers. So, free cash flow for 2Q, obviously, it came in a little bit light, and your guidance for the full year is several hundred million below, I think the Street consensus. So, it would be good to understand that a little bit more. So, I guess I wanted to ask you, if you could just pinpoint the factors, maybe weighing on cash flow. And then as everybody models out into next year, are there any key things to keep in mind? Are there any sort of one-time weights that might be alleviated next year? Thank you.
Kelly Steckelberg: Yes. Thank you for asking. So, just as a quick reminder, we have actually never sort of officially guided towards free cash flow, but we understand this is very difficult to model so we are trying to give more insights to it. The biggest change that we are trying to help everyone understand is that we have now fully utilized all of our NOLs, and we are a full cash taxpayer, and so that is having a large impact. And in fact, in Q2, the way it normally falls, right, is we actually paid two quarters’ worth of taxes in one quarter because you pay like the Q1 estimated provision. You pay that in April, and so we had double the impact. So, it’s $200 million to $250 million worth of cash taxes that are now reflected in that. And the other thing to consider is there is one other impact that is driving up our cash tax rate, which is as our stock price has declined, we typically get a tax deduction for things called disqualifying disposition, which is when employees sell their stock. As the stock price has declined, you can imagine employees are holding on until they see potentially greater value in their stock. And so our disqualifying dispositions have dropped. At the same time, we have used up our NOLs, which means our tax rate has gone up and our cash taxes have gone up a little bit. So, we expect that to moderate as we regain value in the stock price over time.
Karl Keirstead: Okay. And then, Kelly, just in terms of next year, anything one-time about everything you just said, or should we assume somewhat similar free cash flow margins next year? I don’t want to corner you in the guidance, maybe just talk through variables.
Kelly Steckelberg: Yes. Well, I think the biggest – I mean we are going to be a cash taxpayer from now on, right. That is done. I think that the question is what happens with the disqualifying dispositions, which is a variable deduction, which will largely correlate likely with a potential increase in our stock price over time and how much employees are selling their stock.
Karl Keirstead: Got it. Thank you.
Kelly Steckelberg: Alright. Thank you, Karl.
Operator: Joining us again is Kash Rangan with Goldman Sachs. Kash, please go ahead.
Kelly Steckelberg: Hi Kash.
Kash Rangan: Hello Kelly, Eric and Greg. Thank you. If you look at the business, if you look at the core work minus the phone, call center, and the IQ and sales, how is that part of the business trending? I mean are you at a point where inclusive of the online channel, things seem to be stabilizing? And how do we look at the mix of business, incoming business over the intermediate term or maybe in the near-term as the year unfolds between the core versus the phone product and non-video products? Thank you so much.
Kelly Steckelberg: Yes. I mean the Zoom Phone was certainly the star, if you will, of Q2, but we continue to see strength in our core meetings platform. It had really strong growth in the period as well, and the majority of our business in online is still core meetings as well. So, the majority of that business is coming from core meetings. And the work – all the work that team is doing to continue to improve the free to convert paid – the free-to-paid conversion will continue to drive more strength in the meetings business as well.
Kash Rangan: But is there a way to really need what the core is doing minus the phones? The phone is a separate revenue pricing.
Kelly Steckelberg: Yes. Kash, we don’t break it out that way. What we have always said is from a revenue perspective, we will start to bring out – break out these products when they hit their 10% of revenue. You can imagine, we are getting very close on Zoom Phone. So, I think in the next couple of quarters, you will likely start to see that, which will give you some insight.
Kash Rangan: Great. Thank you so much.
Kelly Steckelberg: Yes. Thank you, Kash.
Operator: I am moving on to Matthew Harrigan with Benchmark.
Matthew Harrigan: Well. Thank you. Could you be a little more expansive on the region [Technical Difficulty] in APAC up 10%, even the free fall in the yen and some other Asian currencies being weak. Do you have a reasonable buffer to decides to turn off, toggle off North Stream 1 when we get to winter? And then lastly, I think you alluded a little – touched on this a little bit earlier. But can you talk about any variation in the online versus enterprise activity by geography? Is it fairly different in Asia and Europe from the Americas? Thank you.
Kelly Steckelberg: Okay. Let me take the last one first. So, in terms of online, online certainly has been the most impacted in EMEA. So, that’s where – when we talk about the guidance, some of the impact it’s having there, between FX in general and the Russia-Ukraine war, it’s having much more of an impact on online than it is in our enterprise business. And then – I am sorry, I didn’t quite catch the first part of your question.
Matthew Harrigan: On APAC, you were up 10% in U.S. dollars in that region even though currency is similarly to the euro, I mean with Japanese yen. So look, we have had a very strong organic APAC result in certain markets.
Kelly Steckelberg: Yes. I mean Greg, feel free to join in. But yes, we did see strength, especially in Japan. We had a very strong Q2 there.
Matthew Harrigan: Great. Thank you.
Operator: Moving on to Ryan Koontz with Needham.
Ryan Koontz: Thanks for the question. Just a follow-up on the last one about Europe and the kind of online headwinds you are seeing there. Any geographic variance within Europe, you can comment on? Is it continent wide? Is it more Eastern Europe, way? Any kind of color you can give us there would be helpful. Thank you.
Kelly Steckelberg: Yes, it’s pretty pervasive, unfortunately, across the continent that we have seen it as you can tell based on the magnitude of the impact.
Ryan Koontz: Yes. Alright. Thanks Kelly.
Operator: And our next question will come from Peter Levine with Evercore.
Peter Levine: Great. Thank you for squeezing me in here. Maybe Eric or Kelly, just to tack on another question with contact center, can you kind of explain to us where we are with the product today in terms of standing up against the Five 9s and Genesis and the Knights of the World? And then second, if you look out over the next 12 months, 24 months, what’s going to differentiate Zoom Contact Center to kind of get customers to take a second look. And I know squeezing it third here. But Kelly, in your prior – one of your prior questions, you mentioned the seat count was higher for contact center. Can you just give us an average seat count for contact center today if you will to do that? Thank you.
Kelly Steckelberg: Eric, do you want to take the first couple?
Eric Yuan: Sure. Absolutely. Peter, if you look at our contact center, right, as I mentioned earlier, right, customer experience is extremely important, right. We built this new solution, it’s not like any other solutions, nobody on-prem or the cloud visit solution. That – those solutions were built many years ago, right. So, this is more the interface, and we already service the customer feedback. We know what they really wanted to have and also a much better integration with our core UC product as well, like Zoom Phone. And quite often, when we talk about phone customer, hey, you already have a contact center right now, right. And that’s one of the aspect of the innovation and also look at some functionality feature set, right. You can talk on the video. And also more and more AI features as well and also the AI and video and more interface. And I think plus, I think ultimately, we already won the customer trust. They know and we listen to the customer feedback very carefully whenever they have some new feature requests or anything, we can innovate much faster. That’s the reason why I think customers, they are willing to try a Zoom Contact Center, also starting to deploy Zoom Contact Center.
Greg Tomb: And then Kelly, anything on the seat count?
Kelly Steckelberg: Yes. What I would say is, I think I am just looking at a list of deals right here on the screen, and I think that we probably moved into at least the average seat size being in the triple digits. So, we have our largest deal approaching four digits, I would say, and then probably on average is in that triple digit size right now.
Peter Levine: Thank you very much.
Kelly Steckelberg: Yes.
Greg Tomb: I mean the one thing I would add, and it’s probably not a lot of commentary now, but we will be showcasing a lot of these customers at Zoomtopia, right. So, we will get you have a lot – if you attend any of that or have anybody attend that or you hear what’s coming out of it, you will get a lot of contact center details.
Operator: Thanks Peter. And we will move on to our next question, which will come from Michael Turrin with Wells Fargo Securities.
Michael Turrin: Thanks and I really want to appreciate you for taking me on as the next caller of the earnings call. Kelly, you had some helpful quantifications on the major segments of the business and the drivers. On the enterprise side, those comments around more back-end weighted linearity. It sounds pretty clear you are assuming a similar shape hold. But in terms of quarterly versus rest of year, I know 4Q purchasing decision cycles in enterprise are often significant. Maybe you can just add more around the visibility you have into the Enterprise segment, the renewal base there. I think investors would just greatly appreciate any commentary around the degrees of precision you have with enterprise versus online.
Kelly Steckelberg: Sure. So, as a reminder, our up-market teams, both majors and enterprise that Greg talked about earlier are on six-month quotas. So, again, now that we are sort of beyond pandemic buying periods and we have returned to a more normalized seasonality, which sees peaks in bookings in Q2 and in Q4. So, everybody should expect – for example, we had this discussion in Q1 as well. Like we – if you remember, our last record quarter for Zoom Phone was in Q4. And then we talked about it, the seat count was actually acquired during Q1 was down, and now we are having another record in Q2. So, everybody should expect that, that’s kind of the seasonality we are going to see as we add these reps all running to achieve their accelerators in Q2 and in Q4. And again, that’s sort of just a typical enterprise seasonality that we are going to see based on the way our comp lines are structured.
Michael Turrin: Thank you.
Operator: Alright. We have time for one additional question. Ryan MacWilliams with Barclays, please go ahead.
Ryan MacWilliams: And Eric, I just want to say I solved the acquisition of our new contact center. Looks really interesting, so look and see work there. Kelly, two for you, just on enterprise additions for the rest of this year. Should we think that the bulk of that is coming from Zoom Phone net seat adds? And then just as we think about maturing base of your existing meetings customers, right, is that additive to growth at this point? Like do you have a sense of where the ZIP code for that net expansion rate is?
Kelly Steckelberg: Yes. So, I think enterprise additions for the second half will not be just Zoom Phone. I mean Zoom Phone is certainly very strong momentum that we are seeing, but we expect continued contribution from Zoom Rooms will certainly be strong. Contact center, we expect to continue growing as well as Zoom IQ. So, that all of those will continue to add to the overall growth in the enterprise along with we continue to see additions in meetings as well. And then, yes, so in a maturity basis, the enterprise meetings, especially internationally, continues to grow. Like don’t underestimate or don’t assume that sort of the maturity level of video adoption that we see here in the U.S. is at the same level on an international basis, and there is still significant opportunity outside of the U.S. to continue to grow our core meetings platform.
Ryan MacWilliams: Appreciate the color. Thanks.
Kelly Steckelberg: Alright. Thank you.
Operator: Well, thank you to everyone who stayed on with us a little late today. Again, that does conclude our Q&A session for today. Kelly, I will go ahead and turn it back to you for closing or additional remarks.
Kelly Steckelberg: Thank you. Thank you so much, everyone, for joining us today and appreciating – we really appreciate all the support that you give us every day.
Operator: Thank you so much, Kelly. And again everyone that does conclude today’s earnings release. We always thank you all so much for your participation. Enjoy the rest of your day. We will see you next quarter.
Kelly Steckelberg: Thank you, Kelcey.
Operator: You’re welcome.